Operator: Good day, and welcome to the ENDRA Life Sciences’ Second Quarter 2019 Conference Call and Webcast. Today’s conference call is being recorded. At this time, I would like to turn the conference over to Chris Tyson, Managing Director of MZ North America, ENDRA Life Sciences’ Investor Relations firm. Sir, please go ahead.
Chris Tyson: Thank you, operator, and thank you to everyone joining us on the call this afternoon. Before we begin, please note that today’s presentation includes forward-looking statements. All statements other than statements of historical facts including statements regarding our strategies, financial conditions, operations, costs, plans and objectives as well as anticipated results of our development and commercialization efforts and the timing for receipt of required regulatory approvals and product launches of our forward-looking statements, except as otherwise required by the Federal Securities Laws, the company disclaims any obligation or undertaking to update or revise any forward-looking statements. Please refer to our Form 10-K for the 2018 fiscal year filed with the SEC to get a better understanding of risks and uncertainties related to forward-looking statements. I will now turn the call over to Francois Michelon, our Chairman and CEO. Francois?
Francois Michelon: Thanks Chris, and welcome everyone to ENDRA Life Sciences’ second quarter 2019 conference call. Joining me today are David Wells, our Chief Financial Officer; Michael Thornton, Chief Technology Officer, and our recently appointed Chief Commercial Officer, Renaud Maloberti. This afternoon, we issued a press release which outlined our second quarter results and a business update, which we’ll discuss in more detail on this call. I’ll also outline a recent progress and provide updates on key topics. David Wells will review financials. Mike Thornton will provide a technology update and you’ll get to hear from Renaud, who will share his thoughts on the opportunity ahead, providing insights on some of the clinicians’ feedback he’s received and touch on near-term commercial priorities. Then we’ll be happy to take your questions. As many of you know, ENDRA is the pioneer of Thermo Acoustic Enhanced UltraSound, known as TAEUS. A groundbreaking technology that works in concert with widely available ultrasound to visualize tissue in ways similar to advanced imaging modalities such as CT or MRI, but at 50 times lower cost and at the point of patient care. Our goal as a company is to develop applications for the TAEUS technology in areas of high unmet clinical need. And we’re currently in the advanced stages of developing an application for TAEUS to assess and monitor NAFLD and NASH, both chronic liver conditions that affect over a billion people globally and for which there are no practical diagnostic tools. Year-to-date, we’ve made great strides in advancing the TAEUS liver application. First, we advanced our Robarts Institute feasibility study, which allowed us to use the device on humans for the first time. The study was initially approved to test 25 healthy volunteers. And by healthy volunteers, I mean, people who might have elevated levels of liver fat but otherwise have no other major health issues or disabilities, which could complicate execution of the study. The feasibility study had three main goals. First, understand the performance characteristics of the TAEUS system in a clinical versus a bench-top environment. Second, optimize the ultrasound workflow for measurement quality. And third, collect first in-human data. We completed the feasibility study as planned and reported a high level analysis of the system performance in March, as the approved study design constraints as to healthy volunteers. We ended up with 21 out of the 25 subjects with liver fat fractions below 5%, which represented both a narrow statistical distribution and a small number of measurements in subjects that would represent a real-world population for this type of measurement. Accordingly, we elected to expand the study by an additional 25 subjects with the aim of selectively recruiting more volunteers who might represent a more diverse distribution of liver fat fractions in order to generate data from a better distributed measurement set. So far in Part 2 of the Robarts study, while still under the constraints of recruiting from a healthy volunteer population, we scanned 14 subjects with a modified TAEUS liver device including and incorporating the learnings from Part 1 of the study. This is taken a little longer than anticipated because of the purposely selective enrollment goal. These subjects have just been more challenging to recruit given that they’re defined as healthy. Nonetheless, we’ve made very good progress here with the expanded pool of subjects in Part 2 of the study, which now include half of the subjects with liver fat measurements over 5%, which clinical literature typically defines as clinically relevant fat fractions. Finally, we’ve now secured a steady source of subjects which we believe will allow us to complete Part 2 of the study, with a representative subject population in the very near-term. We’re encouraged by the study progress and plan to share the final results of the Robarts study in conjunction with the upcoming EASL-NAFLD Summit in Seville, Spain, in September. In a few minutes, our new Chief Commercial Officer, Renaud Maloberti will also provide an interesting performance benchmark with another commercialized liver product to put our progress in perspective. In early June, we announced a partnership with Rocky Vista University and our long-term clinical advisor, Dr. Jing Gao, who is also an Adjunct Assistant Research Professor at Weill Cornell Medicine in New York City. In the fall, Rocky Vista will be the first study utilizing a TAEUS preproduction system in a pool of patients. By year-end with a Robarts study, Rocky Vista and others, we aim to have over 100 subjects studied on the TAEUS liver device, including both healthy volunteers and patients with liver disease, which will help us build a solid base of clinical data as we head into commercialization. We continue to execute on important operational manufacturing initiatives that will support production of our go-to-market TAEUS product design. These include achievement of ISO 13485 certification that we reported earlier in the year, which has significantly advanced our product development processes, satisfy key requirements for upcoming regulatory filings and laid the groundwork for quality manufacturing operations going forward. As part of our capital efficient operating model, we continue to leverage high quality and flexible service providers such as our development partner, StarFish Medical, rather than burdening our business with facility and staff overhead. This allows us to wind down our engineering spending and shift our resources towards commercialization without appreciably increasing our burn. We remain focused on upcoming regulatory filings, a key gating step as we move towards commercialization. Our feasibility study is already provided the human factors and clinical workflow information needed to support these filings. And we continue to work steadily on the documentation required for the CE Mark filing. Based on latest estimates to complete the work, we now anticipate filing the technical file for CE this fall, coupled with recently announced review backlogs at the regulatory body which may extend review times. We now reasonably expect receipt of our CE Mark in early 2020. We still expect to file our 510(k) by year-end 2019, which keeps us on track for our first half 2020 U.S. marketing clearance. In parallel to this, we significantly increased the level of pre-commercial activity and added a critical team member, Renaud Maloberti. While regulatory clearances are necessary for us to begin marketing the device, we are increasingly focused on a number of other critical pieces needed to support a full scale commercial launch in the U.S. and Europe in 2020, including building of an evidence base for the TAEUS liver application and engaging our clinician network. I’ll let Renaud share details on our most recent activities, but I can tell you that our discussions with clinicians in the field have only increased our confidence that our TAEUS liver application is both addressing a real clinical need and that the profile of the product in terms of accuracy, utility, cost and accessibility, position us very well. In Q2 2019, we were issued one patent for a method and system in the area of determining fractional fat content in tissue. Intellectual property remains a core focus for ENDRA and our IP portfolio currently stands at 52 assets defined, filed, issued and licensed. Lastly, two weeks ago, we completed a private placement of $2.8 million in convertible notes and warrants, which fortifies our balance sheet and we’ll allow it to execute on key milestones including expanded clinical studies and regulatory filings. With that, I’d like to turn the call over to David for a brief financial review. David?
David Wells: Thank you, Francois. Our detailed financial results are contained in our Form 10-Q filed with the SEC today and the press release we issued contains key highlights of our financial results for this quarter. So today I will confine myself to a concise review. In the second quarter, we have managed our expenses responsibly, maintaining our focus on the development of the TAEUS liver application, preparation for regulatory filings and pre-commercialization activities. Our operating expenses were $2.3 million for the second quarter of 2019, up from $1.8 million for the same period in 2018. The increase in the operating expenses for the same period from the prior year was due primarily to increase spending to develop TAEUS applications, which included expenses for our contract development vendors. Our net loss for the three months ended June 30, 2019 was $2.3 million or $0.31 per basic and diluted share, as compared to a net loss of $1.8 million in the second quarter of 2018. Our cash balance as of June 30, 2019 was approximately $2.3 million, as compared to approximately $6.5 million as of December 31, 2018. During the quarter, we used approximately $1.7 million in cash for operation. As Francois mentioned in his remarks, we recently announced closing on a private placement of $2.8 million of secured convertible notes. This increased our pro forma cash position to approximately $3.7 million at the time of closing and provides us with additional financial resources to execute on the near-term milestones that are discussed here today. Now let me turn things over to Michael Thornton, who will update you on our technology and development progress. Over to you, Michael.
Michael Thornton: Thanks David. Let me begin by describing the evolution of the feasibility study at the Robarts Research Institute and some of the key pages that we are incorporating into Part 2 of the study where we are rescanning a selected number of subjects and adding additional subjects with a high likelihood of clinically relevant liver fat fraction. In Part 1, we were able to collect baseline data in human subjects for the first time with our TAEUS technology using our development platform. This set of baseline measurement data let the hardware changes in shielding and electrical isolation that significantly reduced measurement artifacts, and data processing tools that have now largely automated the analysis procedure in Part 2 of our feasibility study. These hardware and algorithmic advancements have been directly channeled to our engineering partner and in turn directly impact our product development. In addition, working with a study scenographer, we were able to develop a study exam workflow that is reliable with improved ergonomics that has provided us with significantly higher quality measurements in Part 2 of the study. The learnings from this feasibility study have been incorporated into the user manual for the TAEUS commercial product and are providing evidence for our clinical evaluation report, both of which are required components for the CE regulatory technical file submission. I’m very happy with the progress of the feasibility study, look forward to additional near-term studies that will transition activities from healthy volunteers to patients. Now on the AI front, we are collaborating with our partners, the Ladak Laboratories at the Western University and together we’re learning a lot about the opportunities for AI machine learning, classification and computation and TAEUS application, starting with benchtop measurements of fat fraction and non-tissue materials. Although AI won’t be part of our first product with TAEUS technology, we can already see operator assisted applications in identifying tissue layers and ultrasound images that could improve measurement accuracy by reducing operator dependent variability. This is an exciting area and we are looking forward to incorporating these quickly evolving and powerful tools in our clinical applications. I’ll now turn the call back to Francois, who will introduce Renaud Maloberti, our Chief Commercial Officer.
Francois Michelon: Thanks, Michael. In June, we announced that we’ve been fortunate to recruit Renaud Maloberti as our Chief Commercial Officer. I say fortunate because Renaud brings 20 years of commercial leadership experience in the medical imaging field, including 12 years in ultrasound. I worked with Renaud at GE Healthcare and he’s a great leader with a strong clinical network in the U.S. and Europe, and strong relationships and understanding of how GE works. With that, I’m happy to turn the call over to Renaud. Renaud?
Renaud Maloberti: Hey, thanks, Francois for your generous introduction and good afternoon, everyone. Knowing it’s the summer, I will try to be brief, although that will be a challenge when discussing my enthusiasm for ENDRA and the TAEUS system. So let me begin with an experience I had just after joining ENDRA. In June, I attended the second international conference on Fatty Liver in Berlin, the ICFL, and met with a number of clinicians. It rapidly became clear to me that there is not only a strong interest, but also a need for a device like TAEUS and I’m excited by the level – the high-level of interest expressed by clinicians and belief TAEUS is the right solution at the right time because of multiple factors. First of all, recognition of chronic liver conditions like NAFLD and NASH is clearly on the rise, which was not necessarily the case a few years ago. And there is a notable diagnostic in patient management gap for clinicians treating patients with a broad range of chronic liver condition. And since it’s non-invasive and works in concert was existing broadly available ultrasound equipment, TAEUS would present a low barrier to adoption solution that can be seamlessly incorporated into existing referral and patient management workflows. In addition, TAEUS will be brought to market at a price point that we believe is cost effective both from a capital outlay as well as operational cost position, and this is even before any potential for reimbursement. Lastly, and importantly, the performance we have demonstrated so far in our feasibility study meets the clinical utility threshold that we need to deliver to make the TAEUS liver application a commercially viable product. The market does not need nor does it expect an ultrasound measurement to match the imaging power of MRI to be a useful tool in everyday clinical practice and our early results with a prototype device are very impressive in my view. To put this in perspective, recently we became aware of a study shared at the 2019 NASH-TAG conference that compared a well known commercially available product to MRI-PDFF liver fat measurements, which only had a R-value of 0.57 equivalent to an R-squared of 32, which is about half of what our development got from TAEUS device measured in March. These are the technology also sells for well over $100,000, double our anticipated price point for TAEUS and is developing a reputation for having clinical value in the measurement of liver fat. So what I really want to emphasize here is that commercial success of medical device depends on much more than a statistical number. It also has a lot to do with product design, clinical utility, ease of use, relationship and our ability to execute on our go-to market plan. So if you put these factors together, it makes me as a Chief Commercial Officer, very excited about the potential market for TAEUS. So over the next 6 to 12 months, my goals are quite straight forward and essentially involve education and awareness to seat the market ahead of our commercial launch. We’ll continue to build relationship with clinicians in Europe and in the U.S. to broaden the visibility of TAEUS and communicate the clinical values that TAEUS brings. We will do this through participation in key radiology and liver conferences in Europe and in the U.S. and direct outreach and cultivation of clinicians in our target segments. To that end, we recently implemented a customer relationship management system, also known as a CRM to help us manage and effectively target the over 500 radiologists, hepatologists, gastroenterologists, and endocrinologists who have already opted in to learning about and collaborating with ENDRA. We will advance current and work to add new clinical studies together, valuable feedback on clinician in the liver space and develop a strong clinical value proposition to support commercialization. The more we know about TAEUS and its capability, the more enthusiasm and demand will build and generate. So in summary, I’m excited to be here at ENDRA, at this pivotal point in its growth because it’s really quite rare have the opportunity to commercialize a potentially transformative technology. So I look forward to updating you on our progress on future calls and I thank you for attending this afternoon and turn the call back over to Francois.
Francois Michelon: Thanks, Renaud, love the enthusiasm. And for our listeners here, just to sum up the five key messages from the call before we open it up to questions. First, we continue to be encouraged with the device performance we’ve seen today and are working to refine the features and benefits of the TAEUS system to optimize clinical utility for NAFLD and NASH patients. Second, we’ll grow our datasets significantly in both healthy volunteers and patients by year end supporting our clinical value proposition as we go to market. Third, we’re ramping up our pre-commercial activities. The addition of our new CCO, Renaud Maloberti, expanded participation in key industry and medical meetings and direct outreach to key clinical stakeholders. Fourth, we’ll file our CE Mark and 510(K) by the end of the year with anticipated approvals in the first half of 2020, followed by full commercial launches in both markets in 2020. And fifth, our recent capital raise four to five vendors balance sheet and will allow us to execute on key near-term milestones as we head into commercialization. With that, I’d like to open the call to questions. Operator, please.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from Brooks O'Neil of Lake Street Capital. Please state your question.
Francois Michelon: Hi, Brooks.
Operator: One moment.
David Wells: We may have lost – we may have lost Brooks here.
Operator: [Operator Instructions]
David Wells: Here we are.
Operator: Please go ahead with your question.
Brooks O'Neil: Thank you.
Francois Michelon: Hi, Brooks.
Brooks O'Neil: So I’d rather just ask the obvious question if I could, which is, I think I heard David say $2.3 million burn in the quarter. I think I heard you guys say potentially some modest delay in the review of the European regulatory filings. How are you guys thinking about sort of bridging the operational and financial milestones and performance kind of where you’re at and where you’re going with the company? Thank you.
David Wells: Yes. Brooks, this is David. Good question. Just to clarify, the burn in the quarter was $1.7 million and $2.3 million difference being some non-cash charge for equity instruments just for compensation we see every quarter. And then in terms of the cash available, we have cash available today to get us into 2020 and to be able to accomplish all of the operational activities that were discussed. We take our continued posture, which is to opportunistically and periodically review the market for available additional capital. And I think we’ve tried to stay very, very consistent and very controlled with our spending. We’ve managed our balance sheet and our cap table very carefully. And then we will – while we have no plans for future funding, we will continue to look opportunistically at what the market mix available to us.
Brooks O'Neil: Sure. And then maybe you could just talk a little bit guys about sort of the post approval, sort of milestones and pathway as you head into 2020. Are there some things you think you could do to generate orders and revenue pretty quickly post approval? How you’re thinking about that?
David Wells: Yes. No. Great question, Brooks. So as you’ve been hearing from us for well over a year, we’ve been very, very active in terms of building awareness and interest in the clinical community globally at these conferences and through individual reach-outs. And I think that puts a lot of people in the pipeline who know about us, are interested in our technology and will be able to go to the next level how do you build awareness and interest is really trial. So as Renaud mentioned, we’ve recently implemented a CRM system. We’re really happy to see over 500 clinicians that have opted in through various means at trade shows and in social media to being connected with ENDRA. And we know what that first tranche of early adopters is going to be. It’s really important and I think you’re asking great question, Brooks, that once we get regulatory approval, we’re not just starting the process. That’s really just opening the floodgates for what we’re building right now. So, building the clinical value proposition with human studies, actively building awareness and interest in the clinician base globally through conferences and targeted reach out, and then really working with our partner GE to target first radiologists, second gastrohepatologist, and then third, people focus on metabolism that is associated with liver disease. People like endocrinologist and internal medicine. So, I feel very good about having a lot of good first, second and third line targets identified by ourselves and with GE’s help that we can go to immediately. Not to mention the additional human study sites that we’ll be announcing through the balance of the year, who in my view, are while trialing our device, also figuring out if they want to be a good commercial customer of ours in the future. So, we think those are additional means. Renaud, any additional thoughts from you?
Renaud Maloberti: No, I think, I think you captured all. It’s definitely, I think the market potential for TAEUS is quite lost, certainly considering what I said earlier regarding the kind of excitement of the radiologists, the pathologies, gastroenterologists and so on that we – that I have personally witnessed at the various conferences that I attended or even one-on-one talk I had with those clinicians. So, it is the process is in full force right now. We’re building relationship. We’re continuing and working with our partner, GE to identify potential targets and working on obtaining the regulatory approvals, we’d be able to continue not only the clinical trial, but also starting to have some commercial activities.
Brooks O'Neil: Thank you guys so much.
Renaud Maloberti: Yes. You bet. To be one – a little bit more specific, besides the ICFL conference we run in Berlin. We will be at four additional key conferences in Europe and the U.S. at the end of the year. We’ll be at the EASL meeting in Spain, we’ll be at the [indiscernible] in October in Germany, we’ll be at the AASLD meeting in Boston and we’ll be at the RSNA meeting in Chicago in December. So, this is not us walking around and schmoozing. This is us as we’ve done for the last year and a half with a formal ENDRA Booth actively soliciting, engaging learning from the clinician population.
Brooks O'Neil: Yes. Thank you so much. Thank you, operator. Who is next please?
Operator: Our next question comes from Kyle Bauser of Dougherty and Company. Please state your question.
Francois Michelon: Hi Kyle.
Jacob Barrie: Hi. Good evening. This is actually Jacob Barrie on for Kyle Bauser.
Francois Michelon: Hi, Jacob.
Jacob Barrie: Thank you. Thanks for the updates today. Can you speak a bit more about what the clinicians who are using too are saying about usability and how you anticipate training being once you’re commercialized, it’s a pretty straightforward to operate?
Francois Michelon: Yes. So let me defer that to Mike Thornton, who is really on the front lines leading our study, who can give you a good sense of how it’s being used by clinicians and what he’s hearing on a daily basis. Mike?
Michael Thornton: Yes, sure. So actually, in terms of acquiring data with patients, typically in North America, physicians don’t do the ultrasound themselves. We do have – obviously our clinical advisors, who have used the system. but most of the work is done by scenographers and we work with the scenographer that is acquiring data for the feasibility study. It’s a new technology and there’s a bit of a learning curve and we were actually developing the scanning procedure with the scenographer. But it’s very streamline now. And I think the total acquisition time in addition to the ultrasound is about five minutes. So, we really are gathering a lot of usability data that shows that it’s commensurate with the current workflow of ultrasound and that’ll be part of our technical file submission. It’s actually a required part for the CE clearance.
Francois Michelon: Yes. And Mike, if I might add to that, Jacob, I think what’s implied in your question is how much training and how hard is this thing going to be to adopt? And I think Mike is clearly starting and has developed in the last few months, clear understanding of where to position our probe, how it interfaces with ultrasound. But I want our listeners to also feel very comfortable knowing that this isn’t a completely foreign and new incremental clinical workflow to ultrasound. There are about 70 million ultrasounds of the liver done annually in the abdomen and the liver. So, there is an experience base there. We’re adding a small extra step in association with the ultrasound, but this is not as I would describe it a completely new technology with a completely new and needed to be trained on workflow. It’s closely associated and I think we’re learning in that we’re well-defined it. So hope that helps.
Jacob Barrie: Yes. that helps tremendously. It’s good to know. My wife actually is in the field on the cardiology part of that.
Francois Michelon: Indeed, indeed.
Jacob Barrie: Pretty cool stuff.
Francois Michelon: Cool thing.
Jacob Barrie: My last question for you actually is regarding the robotic study that you have since the beginning that you were able to enroll the next 25 subjects. Have you identified any key traits that help scan out the sicker patients and how has the enrollment been going? Any more color on that initial observation would be helpful.
Francois Michelon: Sure. So, thanks for the question. So, the original 25 subjects that were in the initial approved study were to test 25 healthy volunteers. We completed that study that plan data collection and we obviously had a huge number of very healthy patients, 21 out of the 25 were in the healthy range of liver fat fractions. We expanded the study and had been tried to be a little bit more selective. A couple of things we’re doing is trying to widen the net of where we’re recruiting from and we’ve recently been working with some hepatologists to try to help us profile that and that’s been helpful. And I think first of all, I mentioned that half of the pool of subjects that have been scanned and part 2 of the study have been above 5%, or in the clinically relevant liver fat fraction.
Jacob Barrie: Right. And are those new subjects, did you correct me if I’m wrong, did you say you have 14 new subjects?
Francois Michelon: That’s right. And we have 11 slots left in the original study.
Jacob Barrie: So that would make seven plus high levels of fat.
Francois Michelon: That’s right. That’s right.
Jacob Barrie: Awesome. That’s all the questions I have. Thank you very much.
Francois Michelon: Thank you. Jacob.
Operator: [Operator Instructions] Our next question comes from Ed Woo of Ascendiant Capital. Please state your question.
Ed Woo: Yes, thank you. My question is, how quickly after you get either the CE approval or the clearance from the FDA that you will be able to get your sales force or distributors fully wrapped up, telling up the TAEUS system.
Francois Michelon: Yes. Hi, Ed. Thanks for joining and thanks for the question. I think similarly to what I explained to Brooks, a lot of the legwork in trouble of targeting and building relationships and really getting those early adopters keyed up is being done today. So, I won’t put a number of days on it, but I would say almost immediately after we received the CE and the 510(k) approvals, we think we’ll have systems in the hands of our first round of adopters. I also mentioned on the last call that our goal in my experience the way to build this market is really to get it into the hands of those early adopter influencers. So, this is not about putting this product out necessarily overnight for broad adoption, because we believe that planting the seeds of the early adopters and a good number of them. but still, it’s a very targeted subset of users. The early adopters, who are used to using a new technology are willing to speak and publish our new technology is the best way to influence the subsequent network in each key markets. So, our goal is to have those early adopters in key markets in Germany and Switzerland, and France, elsewhere and in the U.S. to mention also what I’ve discussed, we’re partnering with GE and GE is going to help us target those GE ultrasound users. So that’s a great way for us to knock on the door of a GE customer with a GE sales rep. But I don’t plan to build out a massive ENDRA sales force. Our goal and what I’ve seen and experienced working well is build out a small team of ENDRA specialists in the key markets that support both the partner sales reps, GE in this case, support the customers during the demonstration and sale and then afterwards. And we find that that helps amplify our sales channel abilities without burdening ourselves with a massive overhead. So, our plan is really to have about five ENDRA specialists in Europe, about five in the U.S. and build that commercial adoption from there. Hope that helps.
Ed Woo: Yes. that answers my question. Thank you. And this is a kind of a broad question, but have you guys start, I know you guys want to take the platform beyond liver. Have you guys started? Is it still too early to think about...
Francois Michelon: listen, it’s a great question and it’s something that we always have to wrestle with. You bring up a point that we occasionally highlight, which is the TAEUS is a platform. So while it allows us to differentiate tissue composition and in this case for the liver, fat from lean tissue, we can do a whole bunch of other things with thermo-acoustic enhanced ultrasound including visually determining tissue temperature change in tissue during surgery. So, you can well imagine follow-on applications related to surgical navigation and guidance for oncology, heart disease, pain management, women’s health, and any number of surgical interventions that use energy to ablate or affect tissue. My commitment, quite frankly, is to keep that interest level on a low boil, have discussions with interested partners to get potential capital for development of that offering. But first and foremost, Ed, to remain disciplined to the commitment we have to executing the liver application first. And I don’t want to sub-optimize neither my resources nor my attention by getting out and developing another application too quickly. So, my goal knocked the ball out of the park with the liver application, focus our resources very carefully on that, and then repeat the exercise potentially with additional strategic partners outside of the ultrasound and liver space to help us develop that offering. But that’s part of what I find so exciting about ENDRA and TAEUS is that although TAEUS today on liver platform is probably enough to build a whole and very healthy business on. it has the potential for several other clinical applications by which we could scale the business and I signed out from an investment value proposition, really excited. Thanks for the question.
Ed Woo: Great. Well thank you. Good luck.
Francois Michelon: Thank you so much.
Operator: There appear to be no further questions at this time. I will now turn the conference back over to Mr. Michelon for any closing remarks.
Francois Michelon: Well, thanks operator. And just a very quick thank you to everyone for joining today. We’re excited about the progress and appreciate everyone’s time during the busy season here to listen to us and we look forward to speaking with you at the next quarter. Thanks again. Bye-bye.